Operator: Good morning, and welcome to Camping World Holdings Conference Call to discuss Financial Results for the Fourth Quarter and Fiscal Year of 2021. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. Please be advised that this call is being recorded and the reproduction of the call in whole or in part is not permitted without written authorization from the company. Participating on the call today are Marcus Lemonis, Chairman and Chief Executive Officer; Brent Moody, President; Karin Bell, Chief Financial Officer; Tamara Ward, Chief Operating Officer; and Lindsey Christen, Executive Vice President and General Counsel; and Matthew Wagner, Executive Vice President. I will turn the call over to Mr. Moody to get us started.
Brent Moody: Thank you and good morning, everyone. A press release covering the company's fourth quarter and year ended December 31, 2021 financial results was issued yesterday afternoon and a copy of that press release can be found in the Investor Relations section on the company's Web site. Management's remarks on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These remarks may include statements regarding the impact of COVID-19 on our business, financial results and financial condition; our business goals, plans, abilities and opportunities; industry and customer trends; our 2019 strategic shift; our recently disclosed cybersecurity incident; increases in our borrowings; our liquidity and future compliance with our financial covenants; and anticipated financial performance. Actual results may differ materially from those indicated by these statements as a result of various important factors, including those discussed in the Risk Factors section in our Form 10-K, our Form 10-Qs and other reports on file with the SEC. Any forward-looking statements represent our views only as of today and we undertake no obligation to update them. Please also note that we will be referring to certain non-GAAP financial measures on today's call such as EBITDA, adjusted EBITDA and adjusted earnings per share diluted which we believe may be important to investors to assess our operating performance. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial statements are included in our earnings release and on our Web site. All comparisons of our 2021 fourth quarter and fiscal year results are made against the 2020 fourth quarter and fiscal year results, respectively, unless otherwise noted. I'll now turn the call over to Marcus.
Marcus Lemonis: Good morning. Thank you, Brent. I'm here with our entire senior management team. And throughout the call of the question section, they'll be able to answer any questions you may have as we review both the fourth quarter and the 2021 year. On today's call, we'll also layout a few short-term and long-term objectives.  Look, 2021 was a great year for our company and we're confident that the long-term trends and strategies in areas like used RV sales, finance and insurance, service operations and our Good Sam business, coupled with optimized new inventory levels and strong demand, resulted in our best year ever.  We retailed a record 126,000 RVs for the year, and our company with that is proud to announce that it has officially surpassed selling 1 million RVs. Last year, we pursued a disciplined and opportunistic approach to capital allocation, with capital investments in the growth of our business, share repurchases and the return of capital to shareholders through dividends.  Our management team's capital allocation plan is to continue investing our excess cash flow as efficiently as possible. We have a focus on three core things. We want to grow our company like we have over the last five years. In 2021, we added 16 new locations, bringing our total to 185. It is our plan to continue that cadence for the foreseeable future. We're either operating or scheduled to operate within 18 months in 45 of the 48 states. We also want to reduce the overall share count. For '21, we repurchased $156 million worth of shares, with almost 70 million coming in the fourth quarter. As we previously mentioned, our Board has authorized an additional $150 million of buyback availability. And now adding that to our bucket, we have a total availability of $200 million as we march into this calendar year.  We also want to continuously improve the overall return to our shareholders. In April of last year, we increased our annual dividend to public holders of our common stock by over 8.5%. And in August, we doubled the annualized dividend from $1 to $2 per share for our public holders of Class A common stock. This week, the management team with Board approval announced another 25% increase in our annualized dividend going from $2.00 to $2.50 a share. I want to give you a brief summary of our Q4 2021 financial results. We recorded record revenue of 1.4 billion, an increase of 244 million or 21% and record net income of 59 million, an increase of 47%. Our adjusted fourth quarter EBITDA was 131.5 million, an increase of 40.3 million or 44%.  We grew our Good Sam business during the quarter, both in revenue and gross profit, driven by our core offerings like roadside assistance, credit card, warranties and insurance. Our used vehicle revenue, which is a big goal of ours, went from 205 million to 412 million, almost 100% increase -- more than 100% increase.  During the quarter, we finalized our exit of non-core, low margin, low turning products like fishing, hunting and firearms, resulting in a reduction of products, services and other revenue. However, we have redeployed that capital into higher margin, better performing segments of our business.  We ended the quarter with nearly $360 million of cash consisting roughly of $267 million of cash and equivalents on our balance sheet and $92 million of cash available in our floor plan offset account. Additionally, at the end of the quarter, we owned used RV inventories of 374 million without related floor plan financing and real estate of nearly 225 million without related mortgage financing.  It's been a little over five years since Camping World went public, a lot of reflecting to do. And in that time, the company's revenue has nearly doubled. But more importantly, our adjusted EBITDA has more than tripled. In 2016, with just over 100 locations selling and servicing RVs, we generated close to $1 billion in gross profit, and we made about $286 million in adjusted EBITDA.  Fast forward five years, we have almost 200 dealerships, generated nearly 2.5 million in gross profit and over $942 million in adjusted EBITDA. But when you peel back the onion on that remarkable growth from around 290 million to over 942 million, you can see a few major drivers. And those drivers don't change going forward.  First, our used business has more than doubled in size from 703 million to 1.7 billion of revenue. Additionally, we will continue to make acquisitions of new and used RV dealerships like we have since the inception of the company. Second, our high margin products, services and other businesses, has substantially grown from 540 million in '16 to over 1.1 billion in 2021.  Third, our crown jewel, the Good Sam services and plans business with high margin recurring revenue, has grown gross profits by over 30%. Fourth, and maybe most importantly, we have become a structurally more efficient business. In 2016, for every $1 of gross profit, we spent $0.70 on SG&A.  In other words, we have a 70% SG&A to gross ratio. Today, it's 64%. With every passing year, we intend to do more with less. Within the RV industry, we're pioneering investments in technology and processes that enrich both the customer experience while unlocking additional operating efficiencies for us. Our ability to leverage our scale, our sourcing capabilities, our database and our unique proprietary technologies make acquisitions more accretive for us than any other entity in the industry. In generating over $942 million in adjusted EBITDA in '21, look, we benefited from the supply/demand imbalance in new RVs and the elevated margins that came from it.  But we've also significantly grown the parts of our business that benefit from the ever-growing installed base of RV-ers, that is used RVs, service and repair, aftermarket products and services and obviously, our big crown jewel, the Good Sam business. We generated double the gross profit from these businesses that primarily benefit from the installed base of RV-ers, and we did it with fewer incremental operating expenses.  In summary, we're more proud of what we've accomplished over the last five years. And looking forward, our objectives are simple. Our primary goal is to replicate the growth we've enjoyed over the last five years for the next five years. How do we get there? Well, first, we want to continue to acquire dealerships like we have since the inception of the company.  Second, we plan to grow our used RV business from 1.7 billion to 3 billion. At our historic average of 20% to 26% gross margins, this should generate 300 million to 400 million of incremental gross profit, and a meaningful portion of that will flow to the bottom line.  Third, we want to grow our service parts and renovation business. We currently operate around 2,600 servicing collision bays, and we plan to add at least 500 more to our existing stores, acquisitions and new store openings.  Last, we want to grow the Good Sam revenue by 10% per year. This business generates 181 million of revenue for us. And growing this by over 50% should result in another 90 million of revenue. And with its current margins around 60%, much of that incremental gross should fall right to the bottom line.  In many ways, the goals for the next five years, well, they look a lot like the last five years. We want to continue to grow in the areas of our business that benefit from the installed base of RV-ers, while always taking full advantage of the new RV environment presented to us.  Let me finish by summarizing a few key points. I remain extremely excited about Camping World today, even more so than I was when we went public five years ago. The optimism around outdoors and RV-ers has never been higher for manufacturers, suppliers, dealers, campgrounds, but most importantly, consumers.  The growth has brought new consumers to the RV lifestyle, and they have fed our installed base of RV-ers. This will continue to grow and benefit us for many years to come, and we remain steadfast in those goals. Starting in 2022, we are moving away from our approach of giving annual guidance.  But suffice it to say this year has started very strong, similar to the start we experienced last year. But as we see with too many public companies, managing the business to deliver an annual metric carries the risk of compromising long-term value creation.  We believe each month and each quarter are only as important as the role they serve as markers on our road to continued growth of this company and maximizing value to our shareholders. Again, our goals are clear. Grow the company, repurchase shares and give capital back to our shareholders in a smart and accretive way. This is what we are singularly focused on.  I will now turn the call over to the operator.
Operator: [Operator Instructions]. We will take our first question from Brett Andress with KeyBanc. Please go ahead.
Brett Andress: Hi. Good morning, Marcus.
Marcus Lemonis: Good morning, Brett.
Brett Andress: So understanding that you're not guiding for 2022, but can you just maybe help us around how we should think about vehicle profitability this year? It's stepped down a little bit from the third to the fourth quarter. I'm just -- I'm looking more on a GPU basis, right? I think you said 13,000 new and 9,000 used. How much can you hold -- do you think you can hold over the balance of '22?
Marcus Lemonis: Look, I think as we talked about last year, as the supply starts to return to some level of normalcy, those GPUs are going to come down. And we saw a little bit of that in Q4, particularly on the new side that was really driven by our need to want to continue to grow the market. On the used side, we made a decision to actually get rid of some aged inventory. So we expect that our used margins should maintain themselves pretty well. But we are forecasting that our new margins are going to come down, and we think they're going to come down a little bit more than what we saw in Q4. I think partially, we want to continue to dominate the sale of RVs in the market as a company. And we're going to always be managing and monitoring what the supply levels are, how other dealers are selling. And while we don't want to participate in the race to the bottom, we don't like to lose at anything that we do. And so we want to continue to maximize the grosses on the new and used side, but we're not going to compromise our volume gain in '22. Because as we learned and studied '21, the volume feeds the rest of our business. The new RV sale is nothing more than a fire-starter for what really matters to our business, which is it creates the trade for our used, it drives service, it drives Good Sam, it drives our aftermarket business. And I think we want to really focus on now that our supply on towables is where we want it, we want to really focus on grabbing share both through acquisition, through new store openings and most importantly, organically.
Brett Andress: Got it. Okay. If I can just follow up, I think you said your towable inventory is where you want it. But I think you mentioned the word also in your prepared remarks optimize speaking around new inventory. So does optimize mean running it high returns, or how do you think about your appetite to acquire new inventory from here on out?
Marcus Lemonis: Yes. So the optimize in my script was really talking about how in 2021, we looked at maximizing every single transaction for gross, because the supply was limited. But the optimize that you're referring to, and I like more, is how we're thinking about inventory going forward. And one thing that we learned through 2020 and 2021 is that we're able to do more with less. And we know that the manufacturers, as we go into '22 and '23, are going to be far more responsible about manufacturing inventory than they were in the past and not flood the market. And I think both the manufacturers and dealers alike enjoyed better margins than it had historically, because it learned that if it managed the supply chain a little more responsibly, we can do that. Now that's my hope. But I don't control what other people do. And so we have to make sure that we're responsible about our own inventory. And so when we wake up every day and we look at what other dealers are pricing at, we want to make sure that we're keeping our day's supply at a level that avoids aging and avoids unnecessary margin compression. But we will never wake up on a Tuesday without every single product that we need being at every single store. That is the most important thing. So there's that fine balance between managing your aging and never being out of stock in core items.
Brett Andress: Got it. Okay. Thank you.
Marcus Lemonis: Brett, I want to give you one more bit of color, because I know that you and I always have these discussions. We are anticipating, just so everybody can sort of forecast volume, I've given you kind of the roadmap on the margin side. But we are forecasting slightly positive same-store sales in 2022. So we don't want anybody thinking that there is some sort of margin compression coupled with this demand thesis that people had that the demand was elevated and not, it was fake news. We believe, as we've seen already, at the start of '22, that the demand is real, and that the demand is there. And by the way, we're not living in most states with mask mandates, and things are wide open. So we want to be clear that we are very confident as we look at our e-leads [ph], as we look at our foot traffic and as we look at more importantly, our actual transactions, we feel positive. In fact, this last Saturday, in the middle of February, we ended up selling over 1,000 units. And that has not happened on a Saturday since June of last year. And it's February. So we are very confident that we are doing what we need to on the inventory side. And we're doing what we need to on the used side, because the mix of new to used has continued its dominance of that used growing every single day. So when we're talking about selling 1,000 units on a Saturday, we believe that our fourth quarter and the start of our year is going to look different than a lot of other dealers. Because while the market was down double digits in Q4, our same-store sales numbers new and used, they were positive. So we think that this used game that we're going to be playing is going to change which is why we've always been agnostic of whether the customer buys new or used. We are planning and expecting for positive same-store sales, and we believe that used is the driver regardless of what happens on the supply side.
Brett Andress: Got it. So as you open the door to a follow up then, so just to be clear, the same-store isn't all-in [ph], in terms of being positive this year. That's not -- what do you expect used to do and what do you expect new to do?
Marcus Lemonis: We expect, because of where our agnostic nature of selling to the customer when they walk in the front door, we believe that our total same-store sales, new and used combined, are going to be positive. And we had our biggest year ever just to be clear. We did 126,000 units last year. That was our biggest year ever. So when we say positive, that means 126,000 and at least one.
Brett Andress: Understood. Thank you.
Operator: Our next question comes from Rick Nelson with Stephens. Please go ahead.
Rick Nelson: Thanks a lot. Good morning. Congrats on a great quarter. I'd like to follow up on SG&A. So in the event that GPUs do pull back, I'm curious how much can be cut from SG&A, how much flexibility you have there?
Marcus Lemonis: Well, we don't ever like to think about cutting SG&A. We'd like to think about being more efficient with the available dollars that our gross profit provides us to run our business. And while we have made specific decisions to cut about $15 million in marketing that we believe did not provide us the kind of return that we need, we expect some SG&A improvement there. But in natural course, because we are a variable built business on the compensation side, reductions in gross profit result unfortunately in reductions in wages. And I say unfortunately, because we want our team members to always be striving to make more. That will drive them to try to accelerate the volume to make up for it. So GPU reduction doesn't necessarily always have to correlate to earnings reduction. It can, but I want to be clear. It doesn't always have to. I think the one thing we've learned since we went public, and you can see it in our numbers, is how we learned how to be more efficient. And I think the thing that we've enjoyed in the last 12 months is every time we stacked on a new location, and that new location came with a better use performance, a better service performance, and our Good Sam business kept getting better, we started to notice that we were able to hold the line on overall margins for our company. And as that mix changes and we sell more used, and we can tweak that overall margin even with new compression, we really feel like that number will move, Rick. It could move up from 64. But we feel very strongly that on an annualized basis, we'll be able to stay away, far away from where we were when we went public at 70%. But it's work. And that's what we're focused on.
Rick Nelson: Thanks for that color. Also I'd like to follow up on the acquisition environment. The pipeline, the multiples that you're seeing out there in the highway acquisition versus stock buyback?
Marcus Lemonis: So on our Board today either closed, about to close or under LOI, we have more acquisitions slated, more rooftops than we opened stores in 2021. That does not include the number of new stores that we're going to be opening. And as a matter of fact, our Lincoln, Nebraska store opened today, which is our new prototype for our Camping World Supercenter. We know that there's 1,500 RV dealers in America, and we don't even have 200. So this idea that we're even close to being done is kind of I think it's flappable [ph] for us. But I also want to be clear that our ability to buy stores in price ranges that are attractive to us continue to be present. And when they're not, we look at alternatives. The alternative for us in the last 5, 10 years has been to open up new stores. And when we open them up, they actually return really, really well over a five-year period. The cash on cash return is phenomenal. But the one thing that we have learned, and we're proud to talk about today, is as we really look at our business overall and you sort of rank the gross margin contributors in our segments, you start with Good Sam, which has always been the thing that we love the most and we get the least amount of credit for, the big business that just prints cash. The second piece is our F&I office, and how that does. It's got no cost of goods and very low labor, and it really does a good job. The third is our service parts, collision, renovation, refurbishment business, unbelievable labor margins and really good parts and accessories margins. And then next you have your used. And then last you have your new. And the reason that I tell you that story is because that's how we actually think about allocating technology capital inside of our business, chased the parts of our business and put systems in the parts of our business that are going to drive those high margin numbers. Not that we don't see it important to do the bottom ones, because we will always be the largest new RV dealer in America period. But we've made the decision going forward that we are going to start opening pre-owned Supercenters. And they will look a lot like what you see today when you go to the Camping World. Except there will be smaller real estate footprints, because we don't need 250 new on the ground. We can carry 150 to 200 used. They'll have far more service capacity; two collision booths, because we'll do a lot more work, big insurance work there; a set of 12 to 14 traditional service bays; and then four to six renovation refurbishment bays. The retail experience will also look a lot different. While it will have necessities of supplies inside of it, it will focus on refurbishment, installation and repair, high ticket items that come out of our retail business; awnings, towing systems, satellites, all those things that customers need to pimp their RV or do what they want to their other units. I think the exciting thing for us is could you ever imagine taking your most profitable businesses and putting them on a piece of property where nobody could compete with you. And there's no margin compression, because you have the one of a kind jewel box that has things that nobody else can get. And we proved over the last 24 months with our RV Valuator tool and our ability to procure inventory, which we demonstrated and will continue to demonstrate that there's really no barrier to entry. And what we do we think is unreplicatable, because our database and our other parts of our business supercharge what that location can be. And in fact, we think potentially based on our early estimates that those locations could actually be our most profitable cash on cash locations. Remember, we don't hold a lot of our real estate. We go to third party REITs. We still have the floor plan for our inventory. So the actual cash that it takes to open up one of these locations could be like around $4 million. And in a matter of 24 months, these things can be doing 20 million to 25 million at top line with the kind of margins that we're used to. And you're getting your money back in a year or two. So we learned that the used business is going to be the biggest pivot that our company's ever had, because we have proven it over the years. We went from 2016 with 703 million of used revenue to just literally like 1.2 1.3 -- excuse me, to 985 million. I apologize. We went from 2016 from 703 million to 2021 of around 985 million to making a decision, a conscious decision when the supply chain was broken, to change our business forever. And we went from 985 million in '21 to 1.7 billion. So we saw that growth happen in 12 months that we had never seen before. Because our management team said, look, we're not mad at any manufacturers or suppliers, but we can't wait for inventory. And we can't play this margin game on the new side if things ever return. So how do we take matters into our own hands and how do we finally differentiate our company from every single other peer that we get compared to, including the manufacturers, is we become a huge juggernaut. And while we said $3 billion is our target, I promise you that we believe we can get there in the next 18 months. And then 5 billion will be our target. This business is actually the sweet spot. It's what I grew up on and understand the best, and it's where we think we can really add value to our shareholders.
Rick Nelson: Thanks for the color, Marcus. Good luck.
Marcus Lemonis: Thank you, Rick.
Operator: And our next question comes from Michael Swartz with Truist Securities. Please go ahead.
Michael Swartz: Hi. Good morning, everyone. Marcus, maybe touching on new vehicle margins is a big focal point for people obviously. Maybe looking at it a different way, is there any reason why we should believe maybe over the next 18, 24 months that new vehicle margins would revert to what we saw pre-pandemic more in the mid-teens level?
Marcus Lemonis: I don't really think so, and I'll tell you why. I think that even though the manufacturers hopefully will manufacture 600,000 units this coming year, we're dealing with a bigger installed base and a bigger excitement about the industry that we've ever seen before. The demand that we see on our Web sites and the traffic and the inquiries is like nothing we've ever seen before. So while we know that margins may come down, and while we're comfortable with inventory levels starting to settle in, the manufacturers have a lot of work to do, years and years of work to be able to build capacity to get to 700,000 or 800,000. And so because the installed base grew so much, and because demand continues to be strong, even in an inflationary environment, because remember, when they finance them over 180 months or 240 months, while the inflation is unfortunate and not great, they still are being able to stretch that into a monthly payment they can afford. I don't see -- unless the manufacturers accelerate their capacity ability quicker than we believe they can, and they don't stay disciplined with manufacturing to demand instead of trying to create demand by manufacturing, we should be in good shape. And the manufacturers that we deal with, Forest River and Thor, are very solid financial stewards of both the industry and their dealer body. They really do pay attention to the health of their dealer body. And that's a good thing for our overall industry. I can't speak to all the other manufacturers and their willingness just to mass produce. We don't know.
Michael Swartz: Okay, that's very helpful. Thank you for that. And then just on the product service and other in the quarter came in a little lighter. And I think you said there's still some cleanup going on with some of the lower margin categories you were getting out of, and I think you called out on the third quarter call. But maybe I'm just trying to understand how much of a headwind that creates to 2022? Is there any way to think about how much revenue some of those lower margin categories actually contributed to '21?
Marcus Lemonis: Yes, we actually know that on an annualized basis, it was around $200 million of revenue that we got out of. And unfortunately for us last fourth quarter, in that business, that hunting, firearms, ice fishing business, is more of a fourth quarter business. And so we had some pretty big headwinds in the fourth quarter that we just overcame. But we made a lot of it up with our service business. Unfortunately, we didn't make up enough. As we head into the first quarter, second quarter and third quarter, we're dealing with about call it 120 million, 130 million over those three quarters. So we have some wood to chop to be able to get ahead of that. However, more importantly, we expect that you'll see meaningful improvement in the gross margin. And you'll feel really good about the fact that we exited these categories and then took that cash and redeployed it into our furniture business, our mattress business, these things that A are not only going to be driven by our used business, but provide better returns, better margins and it gives us something different than other dealers. But there is some headwind for sure.
Michael Swartz: Okay, wonderful. Thanks for the color.
Operator: [Operator Instructions]. Our next question comes from Martin Mitela with Raymond James. Please go ahead.
Martin Mitela: Good morning. Thank you for taking my question. Congrats on a good quarter. A quick question regarding the dividend. Now that we have increased significantly in less than a year, should we expect to grow along with earnings from here?
Marcus Lemonis: Can you repeat the last part of the question?
Martin Mitela: Absolutely. So now that we've seen the dividend increase significantly in less than a year, should we expect it to grow along with earnings from here?
Marcus Lemonis: Well, look, it is always our plan to grow earnings but more importantly, to grow the earnings per share. It is always important for us to do that. And so we know in order to grow the earnings per share, we have to buy shares back at a very aggressive level. And as long as we believe there's a dislocation between where we as a management team believes the value of the company is and where the market thinks the value of the company is, we are going to astutely use our capital to the extent that we're permitted by the Board to buy it back. And when we do that, we'll go back for more, and we'll go back for more and we'll go back for more. I want to be clear about that, that we are going to be very disciplined and very, sort of almost in our DNA -- that share buybacks are part of our DNA as we move forward as a company. And it's accelerated even more when we don't buy off on the market's value. But I would expect it to exist in the long term. On the dividend side, I hope that that grows. We want to be responsible with how we're using our capital. And the most important use of capital is the growth of our company. The second most efficient use of our capital is when we can buy partners back at below market value, because that gives us unbelievable returns. And the third is the dividend. And it is important because there are a lot of investors that like all three, and that's what we're striving to perfect, a perfect balance that makes everybody happy across all three to really accelerate that return for our holders.
Martin Mitela: Great. So that does also segue extremely well to my next question, which is you spent over 150 million last year on share repurchases and stock is well below your average cost. How quickly do you expect to deploy that $200 million left on your authorization?
Marcus Lemonis: We are going to be very disciplined about deploying it. But larger the dislocation, the less discipline we'll have. We have the capital. We have the cash. We have the availability. And so if we continue to feel like the dislocation is extreme, we'll accelerate it.
Martin Mitela: Great. Thank you.
Marcus Lemonis: I think part of fixing what we believe is the dislocation in value is part of the dividend model, right? You got to have that perfect balance between having people know that if you're going to short the stock, there's going to be a heavy dividend. And if you own the stock, there's going to be a heavy dividend while shares are also being repurchased aggressively when possible.
Martin Mitela: Great. Thank you, Marcus.
Operator: And our next question comes from Craig Kennison with Baird. Please go ahead.
Craig Kennison: Hi. Good morning. Thank you for taking my question as well. Also, we appreciate the 2026 goals. Wondering if you can translate that into EBITDA goals?
Marcus Lemonis: The 2026 goal? I'm sorry, Craig. What was the 2026 goal?
Craig Kennison: Well, I thought you said that over the next five years, you want to replicate the growth that you saw in the last five years. So I interpreted that as 2026. And then you talked about some segment goals as well. I'm just wondering how --?
Marcus Lemonis: Our goal is to obviously recreate the pace of acquisitions and the size of the growth. But obviously, as you know, as you get to $7 billion, going from $3.5 billion to $7 billion is a lot easier than going from $7 billion to $14 billion. But when you look at our free cash flow and you look at our ability to open stores and you look at our access to capital and you look at our access to inventory and you look at the available markets that are out there, sure. Would we love to double the business in the next five years? Absolutely. But we also have to be responsible with how we actually do that. Because to go from $7 billion to $14 billion means we're taking on another 14,000 employees, and 14,000 employees require a lot of training and a lot of support and a lot of infrastructure. And we would never want the pace of our growth to not be able to handle the necessary training both for our associates and the customer experience. So growth has to be very much tempered not by capital, but by the experience that we're going to create inside of your company, because ultimately that bad experience and hyperbolic growth can end up having a hyperbolic problem at the same time. And so I don't know that I want to pay a certain number. But I will tell you that it is our continued plan to accelerate acquisitions and new store openings in the 15 to 18 to 20 range. We'll do about 20 this year, I can tell you that already. And we already have nine markets on the board, both in '23 and in '24. So if you just compound that and look at the average size of a dealership that we acquire or build, ends up maturing and being somewhere in that $25 million to $30 million range. We sort of do the math that way and say, okay, you're going to add 300 million to 400 million in year one and 500 million, 600 million in year two, and it starts to compound. And that's ultimately how we see that growth compounding. So if we were sitting here five years from now, we should have approximately almost 100 more stores, 90 to 100 more stores than we have today, averaging between 20 million and 30 million of top line. And then the rest of our business gets that same level of growth at the same time, march it up just the same way you did when we add one store. And over the next four or five months and potentially earlier than that, we're going to be providing to the market some basic assumptive models around what a new store looks like and what it costs to build, and what the returns are, what an acquisition looks like and what it costs to build and what our used Supercenter will look like. And I think that will help build the model for people to say, if you're adding this many stores and you're projecting this much revenue, and they take on this sort of EBITDA margin in that period, you can extrapolate that out pretty easily. And the only flux in that is improvements in SG&A and variations in margin. It becomes far more predictable for all of us.
Craig Kennison: That's extremely helpful. I appreciate that. Just to follow up on the collision piece there. I think you said you want to go from 2,600 bays to adding another 500 bays. What's the economic contribution of increasing the number of bays by 500?
Marcus Lemonis: So every bay contributes around $0.25 million of gross profit on an annualized basis.
Craig Kennison: Perfect. Great. Thank you so much.
Marcus Lemonis: You got it.
Operator: [Operator Instructions]. Our next question comes from Bret Jordan with Jefferies. Please go ahead.
Bret Jordan: Hi. Good morning. On the service bays, could you tell us sort of how we're running capacity utilization of the current 2,600 bays? And then maybe, as you look at adding to that business, sort of what is the staffing environment like? It sort of seems like a RV technician is probably a plumber or an electrician and a mechanic kind of hybrid. Could you talk about the rollout of this incremental service capacity?
Marcus Lemonis: Acquisitions are always a huge part of what our company does, because we're picking up human capital, which is far more important than financial capital. And so we're able, as we make these acquisitions and do 10, 15, 20 acquisitions a year, whatever that number may be, we're picking up team members at the same time. And there's a bit of a farm system there. I think where we have some wood to chop and work to do is growing our own farm system. And so we've started to identify specific regional locations across our country where we're bringing people into an educational platform and an apprentice platform. And while we're working with third parties to do that, we've had to take matters into our own hands. And our goal is to try to create far more technicians than we have bays. If I told you what our utilization was, you'd laugh because it's over 100%, especially in peak season, because there's times when we're working in the parking lot and we're working with two units in the bay. But there are other times of the year where there is capacity. And so we're looking much like a hotel would or much like a campground would look like. We're looking at our utilization on an annualized basis, but we're also looking at it at different times of the year and trying to figure out what we can do to generate more revenue and generate more opportunities in those shoulder seasons. That's part of what drove us to get into this renovation and refurbishment business. And it's also a big driver of why used can be massively important. When we go into a new calendar year, we want to start with a lot of inventory. But when we get to August, we start driving our inventory down. When you look at our service bays in November and December, they're not as busy as they are in June and July. So as we accelerate our used purchases, particularly from other dealers that need cash or from consumers that don't want a storm over the winter, and we're buying deep in September and October, we're now able to utilize the capacity inside of our service department in November and December to create that reconditioning work that gives us great inventory starting on January 1. So that's part of what we're trying to improve. And we said, we want to do more with less. It's looking for nighttime shifts, maybe having seven-day operating systems at our service department, looking for shoulder seasons. We know that in order to really improve this business, we can't just keep buying and just keep opening. We have to take the orange that we have now and we got to get more juice out of it. And I think we've gotten a lot better. And to be honest, I think the pandemic actually helped us. It really was a catalyst for us to learn how to do more with less. As people were out sick or people quit, or whatever happened, we had to learn how to do more with less. And I think that was maybe the silver lining in all of it. We learned how to pick fix our used, we learned how to better manage our service, we learned how to do more with less. And that may be the silver lining coming out of this, which is why we believe the next five years are going to be really profitable for us.
Bret Jordan: And I guess on that five-year forward, the pre-owned Supercenters, could you sort of talk about how you see this as a percentage of the mix in five years? And are these existing RV stores that you're converting to used only? And how do you sort of see it as a percentage of the pie five years out?
Marcus Lemonis: I'll let you behind the fourth wall for just a minute to give you a little chuckle. But if it was -- we have a split between our management team on whether we're going to buy some and convert them or whether we're going to open some. And I think what we've learned is we want to be really, really engineered and efficient both from an environmentally responsible standpoint, because we're a responsible company, to a financially responsible company, we want to find that balance. And we believe that we've created a template of about an 8 acre store with about a 31,000 square foot building with 175 parking spaces with knowing where the bathroom is going to be and what the customer experience is going to look like. And what we can do to make that thing really efficient from a labor standpoint and enjoyable for a customer experience. I would bet that we'll start opening them here this year. In fact, it is our plan to open our first one and hold our Investor Conference there in the fall with a date to be determined in Detroit, Michigan. Michigan is one of the top six states in the country and we have really accelerated our presence there. And we will be the largest dealer there by the end of 2022. We will be the largest dealer -- with the acquisitions we just made, with stores that we've opened and what's about to be announced, we will be the largest dealer there. And so in the middle of Detroit is our old standalone Camping World store. It didn't sell any RVs. And what we've done is we've shut it down, it's totally being refurbished. We're adding 14 bays to it. We added some land. And our first pre-owned Supercenter will open there. You can expect in the next five years, the bulk of the superstores will happen in the top 12 to 14 RV registration states in America, because part of having a used store is understanding that that used store is also a buyer in the market. And so the selling centers will act as buying centers as well. And as an example, we can launch a campaign on a Sunday by pressing a button. And within 24 hours have 5,200 leads of people that want to sell their RV to us and have gone through the RV Valuator tool. That number isn't a hypothetical. It happened this weekend. And so we want to really teach ourselves that the name of the game in used isn't selling. It's buying. And that's what we needed to prove out that we could do with razor sharpness. And so that's our model. My goal is that we would have at least 30 standalone used Supercenters over the next five years. That is my goal. That doesn't mean that I'm going to do it and not be responsible about it, but that is the goal.
Bret Jordan: Thank you.
Marcus Lemonis: And by the way, when you do that - we’ll take our next question.
Operator: Our last question comes from Gerrick Johnson with BMO Capital Markets. Please go ahead.
Gerrick Johnson: Great, thank you. Marcus, you split on getting aged inventory and used had an impact on your margin. Can you talk a little bit about that? I'm a little bit surprised to hear that there's an aged inventory in this environment.
Marcus Lemonis: Well, our definition of aged and a typical dealer's definition of age, they're very different. I was brought up in the used car business. And so my expectation for used aged inventory is probably, by some people's opinion, too tight. But I believe that the most important asset in the company is the used inventory, because it really moves and the market moves. And if you don't keep a tight and a really tight days supply in aging, you get yourself in trouble. And I always believe that your first loss is your best loss. And so when it really starts to be past 120 days, we don't like it. That's the honest truth. When we buy dealerships, we find inventory that's been there 500 days. And that's the kind of difference that we put in through our process. And so when we got to the end of the year, there were certain makes and models or certain manufacturers or certain age of units, eight years old, nine years old, 10 years old, and you're going to have things that once in a while you make a mistake on when you take a trade in. That's part of what happens in the market. You have a human element is an element in the process. And so we don't ever like to hide where our used inventory is. We want always to know that our shareholders know that we manage that like it's a pot of gold. And so we do take losses from time to time.
Gerrick Johnson: Okay. It doesn't sound like it's a certain dollar modular brand, but it's just a cleanup of inventory that's been at dealerships you've purchased and things that would be a disruption? 
Marcus Lemonis: Yes, sir. 
Gerrick Johnson: Okay. Now one more question on sort of the macro and how it impacts your business. I want to talk about inflation. And I'm not just talking about the price of an RV, but everything that goes with it; the tow vehicle, the gas, but also family's budgets will be I think compressed, cost more for groceries, more for clothes, things like that. Do you see that as having an impact on your business, particularly on the pre-owned? And sort of part b on that, what is the average monthly payment for one of your customers, particularly a pre-owned customer?
Marcus Lemonis: Well, we really -- the bulk of what we sell is on the travel trailer and towable side and we're under a $200 payment on average. But we agree with you that inflation is a concern. And I think that there are two things that work in our advantage. And one, I think people are going to scratch their head on, but I'll go ahead and say it anyway. The one thing about RV is that it is the most affordable vacation that people can take. And that's not just a marketing campaign. It is factually correct. Between airlines and hotels and theme parks and cruises and whatever else it may be, there is a more expensive journey to get there. And when you talk about the tow vehicle and insurance and the RV payment itself and the campgrounds pad that you have to rent, you're still talking about in the hundreds of dollars, not thousands of dollars. And so we feel very good that we are a spectacular alternative. Part of the other reason why we also started to shift in the middle of last year outside of the supply issue and outside of the great returns is because we did see that inflation was becoming a problem on the new side. And that will impact margins and that could potentially slow down volume for some dealers that because they don't have used have to just sell something to generate some revenue. And so we think inflation is going to be an issue. We think used for our company mitigates a lot of it, because it's a value proposition to a customer about getting more for less. And that will be our campaign by the way. It is more for less.
Gerrick Johnson: Okay. Thank you.
Operator: There are no further questions at this time.
Marcus Lemonis: Thank you for joining us for today's call. We will see you as we report the first quarter in the spring. Thank you so much.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.